Operator: Good morning, and welcome to the Manitowoc Company Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Ion Warner, Senior Vice President of Marketing and Investor Relations. Please go ahead.
Ion Warner: Good morning, everyone, and welcome to our earnings call to review the company's third quarter 2025 financial performance and business update as outlined in last evening's press release. Joining me this morning with prepared remarks are Aaron Ravenscroft, our President and Chief Executive Officer; and Brian Regan, our Executive Vice President and Chief Financial Officer. Earlier this morning, we posted our slide presentation on the Investor Relations section of our website, manitowoc.com, which you can use to follow along with our prepared remarks. Please turn to Slide 2. Before we start, please note our safe harbor statement in the material provided for this call. During today's call, forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995 are made based on the company's current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied or actual projections due to one or more of the factors, among others, described in the company's latest SEC filings. The Manitowoc Company does not undertake any obligation to update or revise any forward-looking statement, whether the result of new information, future events or other circumstances. And with that, I'll turn the call over to Aaron.
Aaron Ravenscroft: Thank you, Ion, and good morning, everyone. Please turn to Slide 3. To start, I'd like to thank the Manitowoc team for their hard work and persistence through a very complicated period. The great trade reset continues to unfold, presenting new challenges every day. Nevertheless, our team continues to fight to the process, service our customers and execute our CRANES+50 strategy to grow our aftermarket. Overall, I was pleased with the quarter, especially considering the tariff headwinds. Sequentially, the third quarter is usually much softer than the second quarter, but we were able to recover some lost ground. And compared to last year, the numbers look good, too. During the third quarter, we generated $553 million in revenue and adjusted EBITDA of $34 million, which was up 30% year-over-year. Orders were $491 million versus $425 million last year, and backlog ended the period at $667 million. Our non-new machine sales were $177 million, up 5% versus last year, reaching a record $667 million on a trailing 12-month basis. Please turn to Slide 4. Moving to the Manitowoc Way. I recently visited our Zhangjiagang factory in China, where we produce tower cranes for the Belt and Road markets. As we've mentioned on previous calls, we recently developed several new large capacity cranes and upgraded the factory to support their production. While it was great to see the value stream running in full swing, the biggest surprise to me was the improvements in the smaller crane value stream. The team has done an amazing job with kitting and point-of-use materials, significantly improving our flow and throughput in roughly half the space. Overall, the team increased its earned hours by 30% compared to last year with flat headcount, a great increase in productivity. A huge thanks to [indiscernible] Gary Wong and the rest of the team for a job well done. Next, on safety, I want to recognize our team's ongoing efforts to improve our work environment. In the third quarter, we achieved a recordable injury rate or RIR of 0.83, which is a 36% drop from the same period last year. October was safety month here at Manitowoc, and we went all in. Adding to our already strong safety culture, it's an initiative we kicked off last year focused on preventing unsafe practices and encouraging the kind of positive safety behaviors that really make a difference. While 0 injuries remains the ultimate goal, I'm proud of the momentum we continue to build toward it. Please move to Slide 5 for my market update. Starting with Europe, I'm cautiously optimistic. Overall, I feel better about the macroeconomic environment. While the French government's woes continue, both Germany and France shows positive signs. Housing permits in both countries are up compared to last year, which is good news for our tower crane business. Additionally, the big 3 French construction companies have a good backlog heading into 2026. In Southern Europe, we see a lot of activity in Italy. And believe it or not, Spain is now dealing with a housing shortage, something few would have imagined 15 years ago. I'd like to add more color on Germany, where we see promising developments. The country has enacted an accelerated depreciation program, formed a EUR 500 billion infrastructure fund and most recently passed the bio turbo law aimed at significantly reducing building regulations and fast-tracking construction approvals. There are plenty of needs to invest in the local infrastructure. The once famously precise Deutsche Bahn railway system has turned infamous for delays and need serious investments. There are 4,000 bridges in need of replacement or repair, serious housing shortages persist and electrical power remains an ongoing challenge. Turning to our products, tower crane orders for new machines grew 34% year-over-year, marking the fifth consecutive quarter. Sentiment is definitely improving and dealer inventory for self-erecting cranes is at all-time lows in Germany. We see a recovery underway. On mobiles, I would say that all of the above applies and it was reflected in our orders this quarter, increasing 28% versus last year. Turning to the Middle East. The market remains strong. Although Saudi Arabia has eased off a bit from its previous breakneck pace, the UAE has definitely picked up steam. The country has already started Phase 2 of the massive data center outside of Abu Dhabi, requiring another 20 big cranes, and we are hearing that the next major announcement could be the new Dubai Airport, which will require 150 tower cranes. And we're proud to share that the construction machinery Middle East publication recently honored Manitowoc with 2 awards. the best new tower crane Award for the Potain MCT 2205, which is operating on the big data center project and the best new altering crane for the Grove GMK6450-1. Turning to Asia. I recently visited China and South Korea. In China, the market is still pretty quiet. However, in South Korea, there is growing optimism. And as mentioned on the last call, Vietnam and Australia are also showing signs of a turnaround. In addition, we recently received some solid orders in Singapore and Hong Kong. Lastly, the T50 Summit Asian Forum recently named the new Potain MCT 220, one of the top 5 new products for the year. These recent awards underscore the value of the Manitowoc Way and the power of listening to the voice of the customer. A big congratulations to our engineering team in China. Finally, in North America, total orders were up 20% during the third quarter, but the volatility surrounding the great trade rate that is continuing to create a lot of uncertainty. On top of the price elasticity impact of the tariffs, we faced 2 other major tariff-related obstacles. First, the Supreme Court is expected to decide on the reciprocal tariffs by the end of the year. If the court moves against the Trump administration, everyone expects a new tariff strategy will be implemented, but what that looks like is anybody's guess. The second issue involves the impact of steel derivative tariffs on specific products. In August, HTS codes covering all-terrain cranes, tower cranes and truck-mounted cranes were added to the initial list of products subject to the 50% tariff on steel components. Submissions for another round of HTS codes were made in September, and there will be another round of submissions next year. Although the situation is creating plenty of noise in the industry, we continue to push forward. Deal inventory is a bit mixed. It's definitely trending on the low end for rough terrain and all-terrain cranes, while boom trucks and crawlers are slightly elevated. Looking to the fourth quarter, given that most crane rental houses have had a good year, I expect that some customers will take advantage of the new accelerated depreciation scheme and do a little last-minute Christmas shopping. Lastly, our antidumping claim in the U.S. against Japanese crawler crane manufacturers continues. However, we expect it to be delayed due to the government shutdown. The bottom line is that we believe in fair trade and will strongly defend it. With that, I'll pass it on to Brian to walk you through the financials before I close with our strategy update.
Brian Regan: Thanks, Aaron, and good morning, everyone. Please move to Slide 6. During the quarter, we had orders of $491 million, an increase of 16% compared to a year ago. The year-over-year increase was largely attributable to higher orders in the Americas and European tower crane businesses, where comps were fairly easy. In the U.S., the prior year was significantly impacted by uncertainty from the election and Europe was experiencing a downturn. As Aaron mentioned, our European tower crane business continues to show signs of improvement with a 34% increase in new machine orders compared to last year, the fifth consecutive quarter of year-over-year improvement. As it relates to backlog, we ended the quarter at $667 million and expect approximately 60% of it to ship by the end of the year. Net sales in the third quarter were $553 million, up 5% versus the prior year. Non-new and new machine sales at both our European tower crane business and MGX drove the year-over-year revenue improvement. From a trailing 12-month perspective, non-new machine sales reached $667 million, reflecting another great quarter by the team in progressing our CRANES+50 strategy and another record. On an adjusted basis, SG&A expenses as a percentage of sales were flat year-over-year. Our adjusted EBITDA for the quarter was $34 million, an increase of 30% year-over-year. Adjusted EBITDA margin was 6%, an increase of 120 basis points over the prior year, reflecting a better mix of revenue. Please move to Slide 7. Net working capital ended the quarter at $622 million. The majority of our net working capital increase from the prior year was driven by inventory, which was impacted by unfavorable foreign currency exchange rates, tariffs as well as a few missed units we had planned to ship during the quarter. Similar to last year, we expect our inventory to decrease substantially as our build plans continue to rightsize and we execute on Q4. With that said, we expect working capital to only modestly decrease by the end of the year with AR increasing and AP decreasing, offsetting the inventory change. Moving to cash flows. We used $14 million of cash from operating activities in the quarter. Capital expenditures were $8 million, of which $3 million was for the rental fleet. At September 30, our cash balance was $40 million and total liquidity was $213 million. Our net leverage ratio was 3.9x. Touching on tariffs, additional HTS codes were added in August to the steel derivatives listing. This is a 50% tariff on the steel components of imported product. Our truck-mounted cranes are manufactured domestically. Therefore, there is no impact from these new steel derivative tariffs. Similar to our competitors, we import all-terrain and tower cranes. As such, this tariff doesn't necessarily change the competitive landscape for these products. However, overall demand for the product is expected to decline. As the only U.S. crane manufacturer, any additional steel derivative tariffs on other crane products imported into the U.S. could be beneficial to our domestic business. From an overall perspective, we continue to assess direct tariff impacts. Based on current demand levels and tariffs, we're estimating 2025 gross tariff cost of approximately $44 million of which we expect to mitigate 80% to 90%. Year-to-date, tariffs had a $2 million unfavorable impact to our results. Given our relatively strong performance in the third quarter, we expect full-year results to come in at the low end of our adjusted EBITDA guidance. As mentioned earlier, we don't expect our working capital to improve significantly during the quarter, which is delaying cash generation. We would need approximately $100 million of free cash flow to hit the low end of our guidance, which will be a tall task given the timing of shipments and the collecting of those receivables. With that, I will turn the call back to Aaron.
Aaron Ravenscroft: Thank you, Brian. Please turn to Slide 8. To close, I'd like to focus on our CRANES+50 strategy, which provides higher margins and more consistent revenue streams. Over the last 12 months, our non-new machine sales grew 8% to $667 million. Given that this revenue generates roughly 35% in gross margins, every sale is crucial to offsetting the softness in the U.S. OE market. I'd like to share a few highlights from my recent visits to our service branches in Denver, Langenfeld, Germany and Meru, France. Starting with Denver, we opened this greenfield location in 2023 to replace a low-performing dealer. Today, we have 13 team members and the branch has almost doubled sales into the territory by focusing on the customer. In addition to selling Manitowoc equipment, the team has done a great job of also selling extreme telehandlers in this region. These machines are perfect for managing a crane yard, and this is a great example of the entrepreneurial spirit within MGX. One of the coolest things that I saw at the branch was that the local service manager used his personal 3D printer to manufacture a homemade tool to help technicians perform wheel alignments. It's a significant safety improvement and saves 4 hours of work on the job. In Langenfeld, Germany, we expanded our legacy aftermarket location to start our tower crane rental fleet initiative. I'm pleased to say that 67 cranes of our 75-unit rental fleet were in service during my visit, while the remaining 8 units were reserved for upcoming projects. Back to my earlier comments on the German tower crane market, this is a great indicator of the improving market. With the mobile business, Langenfeld also plays a critical role in our trade-ins and used sales. This is where we homologate used cranes that are headed for the U.S. among other locations. Using The Manitowoc Way, the team recently freed up an entire bay for repair work, which is excellent news considering the facility was full during my visit. Lastly, Meru, France, is one of our newest facilities opened in 2024. Historically, we had a tiny warehouse location in the region with a couple of offices, but we never really had a true service shop to support the Parisian market. The team impressed me with their creative service ideas. For example, we provide both mobile and tower services for a local construction company in the area. During my visit, the team was repairing the same customer's genset unit. It's a classic example of our broad skill set and our team's focus on servicing customers. In addition, the Meru team is trialing a battery system and a flywheel power generation unit to help manage electricity at job sites. Typically, it takes months to connect to the French grid. But with these solutions, customers can be up and running in just a day. Both are promising concepts for helping our tower crane customers manage on-site power efficiently, and I look forward to seeing how this project unfolds. On Slide 9, you can see a variety of different products our aftermarket team in France has started to sell. The crane industry is a niche business, and our customers have a tough job. We want to provide as many solutions as possible to help make their work a little easier. Thanks to all 3 aftermarket teams for their time, passion and commitment to Manitowoc. It was an absolute pleasure to spend time with them. In closing, we are managing the things we can control. The tower crane teams in Europe and Asia have done a fantastic job developing new products during the downturn, which are now paying great dividends. Likewise, among other new products we plan to introduce in 2026, we are on track and excited to launch our new Grove 8-axle all-terrain crane at CONEXPO in March. It has the potential to be a $100 million product line when it goes into serial production in 2027. And while we are managing the tariff situation in the United States in every corner of the company, the Manitowoc team is continuing to find ways to better serve our customers and grow our non-new machine sales. With that, we'll open up for questions.
Operator: [Operator Instructions] There are no questions in the queue. I'd like to hand the call over back to Ion Warner -- we have a question from Tyler Russell from Barclays.
Tyler Russell: So great quarter. Margins were up year-on-year, quarter-on-quarter. So you mentioned positive mix, but yes, I wanted to ask about the drivers of the margin improvement.
Brian Regan: Yes, it was really -- you saw the growth in our non-new machine sales, and we talked about the tower crane business as well. So those 2 businesses are really -- starting to operate a lot better, in particular, the tower crane business and both have good margins.
Tyler Russell: Got it. Got it. So the non-new machine sales have been consistent, but yes, I noticed that the total sales were up more, 5.4% versus 4.9%. Is that mainly driven by the tower cranes up 34% as well?
Aaron Ravenscroft: Sorry, Tyler, I think the phone cut out...
Ion Warner: Can you repeat your question, please?
Tyler Russell: Sorry. Yes, I just was mentioning the non-new machine sales have been consistent, but the total sales were up more, 5.4% versus the 4.9%. So was that driven by the tower cranes as well? Or where are you seeing the improvement?
Ion Warner: Some of that was the misses that we had in the second quarter that would have pulled in the third.
Operator: There are no more questions in the queue. I would like to turn the conference back over to Ion Warner for any closing remarks.
Ion Warner: Thank you. Please note that a replay of our third quarter 2025 earnings call will be available later this morning by accessing the Investor Relations section of our website at manitowoc.com. Thank you, everyone, for joining us today and your continued interest in -- the Manitowoc Company. We look forward to speaking with you again next quarter.
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.